Operator: Thank you for standing by and welcome to the Perseus Mining December 2018 Quarterly Conference Call. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer Session. [Operator Instructions] I would now like to hand the conference over to Mr. Jeff Quartermaine, Managing Director and CEO. Please go ahead.
Jeff Quartermaine: Thank you very much, and good morning, ladies and gentlemen, and welcome to this conference call to discuss Perseus Mining's December 2018 quarterly report that we released to the market earlier today. For those of you who had an opportunity to read the report, you would have noted that the operating results that we've reported were once again fairly strong and in line with the midpoint of guidance both in the December half year and the full 2018 calendar year clearly indicating that Perseus is moving up to its promise of doing what we say we're going to do. So, let's turn to the report and talk about what we've actually delivered in more detail, and looking first step at the group as a whole. Across both of our operations, we've produced the combined total of 68,078 ounces of gold that included 50,141 ounces from Edikan and 17,937 from Sissingue. Now, that's down slightly on the previous quarter but very much in line with our expectations. For the December half year, we've produced 140,555 ounces which is equal almost exactly in the middle of our production guidance range of 130,000 to 150,000 ounces; and in the full 2018 calendar year, we produced 298,463 ounces which was within half a percent of the midpoint of their guidance range. And I should say, it's almost 80,000 ounces or 38.5% more than what we've produced in 2017. There was some fairly clear evidence of the growth that we've been talking about for some time. Now, what these production statistics do indicate is that both Edikan and Sissingue operations are running very much to the plan, and that's in spite of the usual operational challenges in one of the wettest wet seasons experienced in West Africa for many years. Turning to group cost, the quarterly production cost at Edikan was $1,049 an ounce and the all-in site cost was $1,151 an ounce, but slightly up on the prior quarter and I'll talk about that in the moment. The production cost at Sissingue was $723 per ounce and the all-in site cost was $776 per ounce. Once again, higher than the last quarter but not to be -- no surprise around that given that we did actually make a transition into harder fresh ore this quarter. Now, when we combined this resulted in a weighted average all-in site cost for the group of $1,152 an ounce, and on the half year and full-year basis, the all-in site cost was $999 and $994 per ounce respectively, so just on the $1,000 an ounce mark for those two periods of time. I should note that in respect of the half year and the full year, we were about 5% below the midpoint of the guidance range in each case, so once again delivering as we said we would so. Now looking forward, we are expecting for pretty much more of the same for the June 2019 half year, and in terms of guidance production for that period, we are forecasting once again 130,000 to 150,000 ounces. In terms of guidance cost, we are expecting an improvement in cost as our new life of mine plan at any Edikan could extend from January this year, and we are guiding all-in site cost of $852 to $1,000 an ounce for that period. In fact, if everything stays on track which I expected to do, hope it will do, we should end up doing very well relative to the guidance strength. But as we will know too well, the mining business is very capable of throwing up surprises when least expected and our forecast prudently take into account. I mean having said that, to the 20th of January, we are running about 13% above our budgets at the moment. So as far as the March quarter is concerned where we're definitely off to acquire and hopefully we can sustain that sort of performance throughout the half year period, but time will tell I guess. But all of that said, as a company, we are operating very much better than we ever have, producing about 290,000 ounces of gold a year to touch under $1,000 an ounce, is not a bad outcome when comparing us to some of our more fancy peers. Our ability to anticipate and deal with surprises is much better than it has ever been in the past, and we're looking forward to continuing further strong results as the group going forward. Returning to the December quarter, we saw 66,705 ounces of gold during the quarter at an average price of $12.50 per ounce, once again generating positive cash flow at both of our mines. And in fact based on this average gold price and our average all-in site cost $10.52, we generated an average margin of about $200 an ounce. And when you multiply that by the number of ounces of gold produced, the national free cash flow from the two operations was about $13.5 million, $8.5 million coming from -- that's U.S. dollar I should say, about $8.5 million coming from Sissingue and about $5 million U.S. coming from Edikan. So even though Sissingue is producing the smaller proportion in terms of ounces, it's -- with lower cost is clearly contributing very strongly to our cash flow, and that's not -- doesn't come as a surprise to us at all. Now, obviously, not all of this cash goes directly to the bank balance. We have to service debt and cut corporate cost and we choose to explore. We also have movements in debtors and creditors, but after all these things were accounted for at the end of December, our cash in bullion balance was AUD92 million or $65 million. This is down slightly on the balance at 30 September. However, a key point to note is that the outstanding bank debt at the end of December has decreased through $48.5 million. So, our net cash and bullion position at the end of the quarter was AUD23.3 million and $16.4 million and that's an increase of a couple of million on the previous quarter. So, while the cash generation this quarter was down a little relative to last quarter, and I should say a lot of that can be attributed to sales volume as well as obviously slightly higher cost, and last quarter, we did have extraordinary higher sales and unusually higher sales as we sold gold from the previous quarter. But we are generating cash from both the operations and improving the balance sheet ahead of entering into future financing arrangements to fund our third project Yaoure, but more of that's in a moment. Let's first look at each of the operations and Sissingue is the place to start given it's our newest operations. So in the December quarter, Sissingue produced as I said about 17,937 ounces that was up a little bit on the September quarter. The milled head grade average 1.62 grams a ton. Milled throughput rate averaged about 176 tons an hour. Runtime for the quarter was about 94% of available time. Now, the fluctuations of all these statistics period-on-period was largely a function of the extremely wet conditions that we experienced at Sissingue over the half year. And I should say, the knock-on effects that lasted well after the rain stopped. It also reflected a transition into how the material towards the end of the quarter. And as mentioned before, we had about 1,000 millimeters of rain in the September quarter and a further 200 millimeters of rain in the first week or so of October. And that represented about 50% more than the 40 year average rainfall in the area, so it was indeed very wet. And the fact that we performed as well as we did, I think is a real credit to our operating team. Even though, it stopped raining early in October, the aftereffects of the wet season were evident throughout the full quarter. In that we were restricted, in accessing parts of our pit, and as we have previously scheduled for mining and grade control, and this manifested processing ore -- we were processing ore out of our planned sequence and this is what caused the relative fall in head grade for the quarter. Frustratingly though, since the end of the quarter, we haven't gained access to the material that we were originally planning to mine in December. And so far this month at Sissingue, we're about 120% above our budgets. So, as we say, we were expecting to process that material last year, and had we done so, the result would have been substantially better than what we've been able to report. But the nice thing is, we are getting that ore and turning it into gold and that's extremely pleasing. What is very pleasing about the production or the performance of Sissingue is, gold recovery, which is continuing to average about 95% or about 4-and-a-bit percent above our forecast. And that's notwithstanding the fact that we've now started to process fresh ore. We'll have to say though it's still relatively early in the mine life, so we have made a very good start, it's encouraging. But we don't really get too carried away with it. But that certainly those, that recovery is well above what we were thinking we might get. The key to it is the -- appears to be the very high gravity gold recoveries that we're achieving. In our feasibility study, we assumed about 25% gravity recovery, but we're regularly about 30%. In the last couple of weeks, it has been very much about that as well. So that's a pretty pleasing outcome. In terms of tonnage and grade reconciliations at the mine, the study reconciling tons and grades between the reserve model in the mill for the period when we started mining in November 2018, it indicates a positive reconciliation on contain metal. I think it's quite a as I said, more tons, slightly lower grade but quite a bit more gold contained, so that's fairly handy trend at this stage. It is relatively early in the mine life, as I say. And we shouldn't be drawing definitive conclusions. But certainly the ore body to date has been performing slightly above expectations, which is very good. In terms of the operating cost, the production cost for the quarter came in at $723 an ounce $776 all in. This increase in unit cost is largely a function of the increased volume of material moved during the quarter. As I said earlier, we were unable to mine and to perform grade control drilling in certain areas of the pit through a period of time due to the very wet floor conditions. So rather than slowing down mining, what we did was we switched to mining wastes material from areas that were accessible. But we mined at a rate above what was originally planned and that was all upside largely and was fairly easy to move. So while we've incurred a higher unit cost this period due to the high level away mining, this will be a benefit in future periods when our waste mining costs will, likely would not fall below what they might otherwise have been. Having said that, we don't know till the next wet season and making sure that we don't have a repeat this year's challenges, we may well continue moving wastes so the cost may not drop immediately. What the thinking here is that, by bringing forward the cutback of the interim wall of our pit, so we get to the final pit wall sooner rather than later, we may be able to avoid any slumping of that interim wall that's occurred this year in the event that we get another very and heavy wet season next. But anyway, we're looking at that fairly closely. The other point to note, I guess, in terms of cost was that, in November we did start to drill and blast as we started mining transitional along fresh material, and this did increase cost slightly relative to and we're mining oxide ore, but we also saw some savings in terms of power and consumables. So, that is fairly normally got the few swings and roundabout, so outside of the higher mining volume costs were pretty much as we had been predicted. And generally speaking, I mean, that's fairly good outcome under the trying circumstances that we experience. We sold about 16,769 ounces of gold at Sissingue at an average price of 1,257 an ounce during the quarter. That gave us a fairly healthy margin of $481 an ounce, which as I said earlier converted to national free cash of $8.6 million, so AUD12 million for the quarter. The single biggest issue associated with Sissingue continues to be mine life, which is at the moment stands at about five years. We think that the prospects for extending the existing mine life are very good, and our exploration team has been following up several new mine targets that we think will ultimately yield additional mill feed. We have had some pretty encouraging snips at Zekoundougou, Fimbiasso and Papara and we'll be wanting to follow those up pretty vigorously. Later in the quarter, we -- the land ounce Sissingue did dry out sufficiently well for us to start moving rigs around and to make a start on drilling, but as of the end of the quarter very few assets have been returned. So, I guess this is a case of what's to dispose. Now turning to Edikan, during the December quarter, we've produced 50,141 ounces. We continue to trend of strong production from Edikan, has been in evidence over the last seven quarters. So, this was the eighth strong quarter production. It was down a touch on the previous quarter, as I mentioned earlier, but very much in line with what we're expecting to see. And the gold production was influenced by several factors. Runtime of plant is 90% and it was down about couple of percent on the previous quarter. Average daily throughput rates were also slightly down, in fact 77 ton an hour against about 900 last quarter. And these differences were not overly material. Those are statistics can be traced back to the sequence of mechanical issues that occurred at mine site in early October. And early in the quarter, we've got some [trans] metal caught in the chute and that caused us to be down for a period of time while we clean up the mess. But almost as soon as we got back up and running, we'd experienced some structural failure on our Low-Profile Feeder that transfers ore from the crusher to the conveyor that leads to the crushed ore stockpile. It still need a little bit of fixing, but we were able to compensate by bringing in mobile crushers. But all of that, all of these things had up and so the throughput was down and little bit for the months, and of course costs were up a bit too as a result of hiring of those crushers. But we'll talk about that in a moment. Grade reconciliation remained satisfactory on the site. Reconciliation of gold from the resource block model to grade control, it's just about a 100% right across all the pits combined. Reconciliation between grade controls model and mill, the mining of those to nine core factors is currently within excepted industry standard, so there's is no drama there. As we've noted previously, we can currently mine from up to four different pits at a time on the site. And due to variability in ore hardness, head grade and metallurgical recovery, we need to very carefully manage the blend of ore pit of the mill. Now, this quarter we did have access to some relatively high-grade material from our Fetish Pit, but unfortunately this very high-grade material contained very fine grained gold as well as carbonaceous material. So the benefit of the higher grade was largely offset by decreased recoveries when we processed that material. As a result, the overall head grade for the quarter was about the same as last quarter at 1.16 grams a ton, recovery was down about 3% to 72.5. And this is the main factor that led to the reduction in gold production for the quarter. The very positive news on that front though is that in early January, we processed the last of that fine grained carbonaceous material from Fetish. And since then, recoveries are short back up to around the 87.5% in our total and got about 10% which is where that supposed to be. And of course, this bodes well for the balance of this quarter and half year when the major source of wall that we'll be processing will be coming from the Esuajah North pit and purely that is recovering quite well. Now in respect of cost, they were slightly up again. The cost -- production cost is about AUD1,049 and then after bringing royalty and capital, it was AUD1151 an ounce. So that was higher than the September quarter. But now it's more than half of this increase was a function of the decreased gold production. So fewer ounces, but the balance of the cost increase is due to the couple of things. Firstly as previously reported, we have adopted a new life of mine plan for Edikan and that tax effect from January 1. Now, this trade involves of use of single mining contractor on the site instead of two contractors as previously indicated. Now really late last year, we called tenders for mine from a range of local and international contractors, mining contractors. And from these tenders we selected a Canadian miner, Rocksure International, to mine for us so that it achieves. Now Rocksure had prices well below the competitors, but they're being mining at Edikan now for several years and they proved their propensity in terms of safety equipment and their ability of performance. I should say they're a Canadian company and that's also plus in terms of increasing local content which is something that just to get every country in the world seeks these days. This did mean of course that the AMS had been mining on the Edikan site since the beginning of the mine, had to be demobilized at the end of the year. And the cost of this demobilization is reflected in the all-in site cost for the December period. So this is the cost we're well read. In addition to that, we also did incur some higher maintenance costs and costs associated with the level of mobile crushers to supplement the mill feed that I referred to you before, while we were carrying out repair. So once again, we hope that these costs will also be one-off and won't be repeated. The average price of gold sold during the quarter was $12.48 an ounce, generating a positive cash margin of about $100 an ounce. And that translated to national cash flow from operation of about $5 million, so AUD6.6 million. And as mentioned, we will be implementing the revised mine plan for Edikan which is aimed at improving cash flows by smoothing production and lowering and cash costs more than any decrease in revenue associated with the production smoothening. We started implementing that plan by reducing mining movements in the December half year, but we planned to continue that reduction in mining volumes quite significantly from January. While the grade maybe down slightly, and I have to say we haven't seen any sign of that at this stage of the game. It's not overly material. The important thing is that the costs are coming down and we expect that this trend will continue. And the new mining contract with Rocksure is expected to deliver some provision savings in terms of unit mining costs. And this of course will bleed through into the all-in site cost. Now in terms of exploration at Edikan, in recent times, we've increased our exploration activities on the Edikan tenement with the aim of extending the mines current six year mine life. We've been drilling on the Esuajah Gap prospect, which is located between the Esuajah North and Esuajah South deposits. And based on the drill results, we saw late last year we appear to have discovered a significant mineralized granite body. Now based on those results as we reported to the stock exchange on the 20th November, they're quite significant similarities between the Esuajah Gap mineralization and that, which we've seen at Esuajah North and also Esuajah South deposits. And I guess it's worth stating that Esuajah South as an open pit is caring about 391,000 ounces in reserve and suddenly private mining aside your last reserves total 475,000 ounces. So I think we are successful improving that up that that is potentially a significant addition to reserve inventory. Since last November, we have been busily trying to follow up the drilling results. We have encountered some access issues as we prefer drill sites close to the Ayanfuri village. And whilst community latest very much in favor of what we're doing and supporting our activities, we have struck a bit of resistance from a few residents. I should say that, that resistance is purely monetary, money-related and so not -- we're not doing anything that is particularly damaging to their lifestyle, but money is always an issue in these sorts of things. Anyway, we do hope to be in position to report more positive results later this quarter. So, Edikan, it's tracking fairly well at the moment, but East Edikan is a challenging operation and let's not have a great amount of room for error. We do make reasonable cash flow from the mine, but they're always on the lookout for opportunities to improve the business and in that respect we have a fairly active business improvement unit running and we can see some very good opportunities to improve our performance even further from where we are at present time. Now as I mentioned our third project, Yaoure, and in the context of, I mentioned that in the context of saying about cash generation and how that all good will for future financing of the project. Other things that we've done in terms of advancing Yaoure during the quarter towards the development decision, these, we, our application for an exploitation permit was filed in January 2018. And it continues to bounce around inside the Minerals Commission in Cote d'Ivoire during the quarter without, well, with limited, visible signs of progress. Whoever subsequent to the end of the quarter we have made several advances which is pleasing. We've received formal confirmation that we will be exonerated from the ordinance that was issued by the government in 2018 that impacted on the tax holiday afforded to new mine developments. This is an important point for us, being granted the full five year tax holiday as we -- we're assuming that that was the case in our feasibility studies. Our feasibility assumptions are correct and will apply throughout the mine development. We also understand that the Minerals Commission has made a positive recommendation to the ministry of geology and mines about the granting of the exploitation permit. The next step is for this proposal to be tabled for approval at a council of ministers meeting. When, in fact, this is going to happen nothing on to us but we have been informed that it is likely to occur in a very near future. We can't say a lot more about at this stage, as I indicated, other than we have been informed that there are no impediments to the proposal being favorably considered by the minister. So we are hanging out for that to be approved. Now once that is done negotiation of the Money Convention, which incorporates the guarantee of fiscal stability throughout the project life. It will start straightaway as will, of course, payment of the final installment of the crop amend compensation and commencement of early works to secure at the mine site. So, we are looking forward to getting on with that. Now, there's an indicator of our retention to move the project forward as rapidly as we can on 10th of January this year 2019. We issued a notice of award for the engineering and supply contracts to the very well-regarded Australian engineering company, Lycopodium Limited. Now for those who are familiar with Perseus, you'll recall that we collaborated very successfully with Lycopodium in the past, most might notably on the hit of time on budget development at Sissingue that was commissioned earlier this year. The award of the engineering and supply contracts for Yaoure are subject to finalization of the formal contract documentation, full project funding and then of course the restatement by purchase of the experimentation permit, which as I said is that hopefully not to try away. Probably the most important issue to be undertaken by us this quarter related to the project funding for Yaoure. Now early in the quarter, we formed a short list of banks from a long list of potential finance used and we invited them to submit their credit approved proposals by the end of November, a number of very improved proposals were received on time and we also received a number of requests for extension to time. Now if anybody who has tried to close to deal or a financing in December knows it's next to impossible to get the attention of banks during this period nearly into January. And the long and short of it is that, we have received some very strong responses so far and we expect several further credit approve responses in the very near future. We do expect to form a syndicate of three or possibly four banks very shortly for the provision of USD, U.S. dollar $200 million at corporate debt facility. I'm not able to go into the specifics at this point other than to say that, this is a plain vanilla corporate debt facility. It doesn’t involve streams or royalties or quotation periods or equity kickers. It will be priced similarly to our existing debt facilities. It really involves some hedging, but this is not going beyond the hedging amounts prescribed by our existing hedge policies, speaking of which at the end of the quarter, we had go forward sales contracts in place for about 101,000 ounces at an average price of $1,304 an ounce. Now, these hedges were designated for delivery progressively over the periods up to 30th September 2022 and match to the indicated Sissingue production. Now in addition to that and I guess in preparation for us moving forward with this facility, we had only 3,000 ounces of gold sold at on spot at an average of $1,238 after the end of the quarter. And following that since early this quarter, we've done another 45,000 ounces of gold, bringing our spot deferred position up to 128,000 ounces at a weighted average selling price of $1,259 an ounce. Now once the corporate debt facility is in place, these spot deferred sales will be designated as required by the facility over the three-year period ending 2022. And once the contracts are designated, they rolled out through those periods based on the current forward curve to the average delivered sales prices of these hedges will be around $1,350 an ounce, give or take, just depending on where the forward curve is at that time. So, that's $1,350 an ounce, again I guess and assume, $1,200 an ounce this will be study. So and that hedging I think will not only we look secure the cash flow to give the comfort to the banks but it will substantially enhance our economics of the project as well, which is good. Now as I said many times before, the funding plan that we intend to apply for the project involves use of up to $200 million of debt and say, up to because depending on our cash flow as we will minimize the amount of debt to withdraw. And we will also use the existing cash as I said about $65 million at the end of December. And of course, our future cash flows from the two operators. And now that the total capital cost of the project is forecasted at around $665 million, in fact strictly speaking once the debt facility is enclosed, we're essentially cover through our capital requirements and ignoring any future cash flow. We believe that this approach is not only appropriate an appropriate plan because it's non-dilutive to our existing shareholders but more importantly it is given deliverable. I am very excited not being handled to lay out full details of our plan just yet, but we do need to lockdown those making erosions first. And as I said this is not far away. We expect and I'd like to think that sometime in this current quarter, we'll be in a position to go public on the full financing details. Also during this quarter, we do expect to be starting some early works and then move into full scale production in the June quarter and have first gold production by about 2020 coming from Yaoure. So, the Yaoure project is moving forward with pace and we're very excited about this. And what it means to Perseus, we have the team to execute the development as we've ably demonstrated by the slick Sissingue development. And as soon as we're continuing our ability to finance, we'll get underway with the project. So in conclusion, it's fair to say that Perseus in very good shape both operationally and commercially. We've now had eight good quarters in succession and I think that even the most cynical observers have now started -- can see that Perseus is a reliable cash flow positive gold producer of some substance and when that represents a very attractive investment proposal in the current economic climate. We are pushing forward with our growth strategy and delivering strong performances from the existing businesses. As I said, we've increased our production 80-odd thousand ounces from 270 to 280. That is pretty clear evidence on the growth strategy working, and of course with Yaoure coming through and hopefully getting into development this quarter, we are looking forward to an even better future for the Company. Thank you very much for your attention. Very happy to take any questions you may have.
Operator: Thank you. [Operator Instructions] Your first question comes from Reg Spencer from Canaccord Genuity. Please go ahead.
Reg Spencer: Thank you. Good morning Jeff, congratulations on a reasonably good quarter notwithstanding the wet weather at Sissingue. My question is related mainly to your ore actually. I was just curious if that's the timelines for the project, if you've so sort of maintained the first production in December 2020. What would be cut-off date be i.e. when would you need to receive your EP finalizing Mining Conventions and [indiscernible] complete financing before that timeline becomes unrealistic i.e. I suppose what I'm trying to say, how much fat is built into that that December 2020 first production date?
Jeff Quartermaine: Well, we're looking at -- we need to start full scale production by the end of this quarter basically, I think early in April actually in order to hit that timeline. Now, obviously, there is fat built into the schedule just from a planning point of you. But I think if we haven't got the license and made a decision to move ahead by the end of this quarter, then we'll start impacting potentially on the schedule. And that's why we're pushing very hard to deliver both the license in the financing. And one other things that we do need to keep in mind and we are very, very conscious of it is, is the weather windows that are available to us. And if we get caught out by that, it's going to make some of the civil works around the side difficult doing accounting standards and things like that. So, we are working very hard to get away on time at this stage of the game, everything is looking still looking very positive. And hopefully that will continue to be the case.
Reg Spencer: Okay, right. Just around the financing side.
Jeff Quartermaine: Just one more question Reg because there is probably other guys on the line as well.
Reg Spencer: Yes understood. Just on the debt facility. Can you just clarify that that is a corporate level facility after $200 million that may replace some of your existing? Or that will be in addition to some of the...
Jeff Quartermaine: It will replace the existing very much, so yes, probably very early on in the pace, we will draw down enough to refinance what it is that outstanding in that stage. So, and then they move on from there, but certainly with the existing cash in the cash flows that we expect to be generating. And I guess the track record of production indicates that those cash flows can reasonably we expected them. We are in pretty good shape to finance the project.
Reg Spencer: Thank you.
Operator: Thank you. Your next question comes from John MacDonald with Hartleys. Please go ahead.
John MacDonald: Just a quick one on some of the quarterly balance, the debt service/finance cost in there at $7.4 million for the quarter. Could you just clarify what that might be?
Jeff Quartermaine: Well, I guess there is fees and interest, normal debt servicing payments and nothing untoward in there. That's Aussie dollars are presume as well.
John MacDonald: Yes, but it's…
Jeff Quartermaine: And I -- sorry and the repayment as well, there was $3 million repayment in that.
John MacDonald: Okay.
Jeff Quartermaine: $3.9 slightly more than that, yeah, I'm sorry.
John MacDonald: Okay.
Operator: Thank you. [Operator Instructions] Your next question comes from Michael Slifirski with Credit Suisse. Please go ahead.
Michael Slifirski: Well, thanks. So look apologies, if this was answered what I'm going to ask, I dropped there twice, strangely. Just on the Esuajah Gap drilling results. What are you thinking in terms of what's the sort of success rate that's required for, soon to overcome the hurdle of the drill relocation? And from what you've seen, drilling to date, are you getting towards something that starts to look like some, it has a commercial potential?
Jeff Quartermaine: Look, since we publish their results in November we haven't had a lot of additional results you've got a few but it's not hasn't changed the initial thoughts. The initial thoughts were that it looked very encouraging but we do need to do more drilling. There is an area which goes away from the village that appears to have oxide material in it as well as good and that looks very good and we're actually got the drill situated at the moment to put a fan through that and that could have a, that could have either a very positive or a very negative effect on our view. I mean, if the results going back also than that would cause us to pull some reflect quite a bit. So I can’t answer your question in a definitive sense I can't say we need ex-ounces or whatever to deliver the outcome. And certainly, we've got the support of the -- general support of the community, the combination -- what we would like to think will happen, and so if we can improve up an uplift in this Esuajah Gap, then we'll be able to do a combined development of Esuajah Gap and Esuajah South. Now at the present time, Esuajah South is economically viable and it's in our reserve, but it's not in our mine plan because we believe that the risk associated with development is not well as the expenditure that it would evolve. However, if we put the two things together and we did acquire a critical math from the two deposits then in fact we would have a fairly sizeable additional mining operation going on there. But that unfortunately is no certainty right now, but that's why we've got the drills poised and ready to go. And hopefully, we will work our ways through the compensation issue in and not to do this in future. On that it must be down a little bit pity in a way but the thing is that we can't look and need to do is to be very mindful of that how we compensate to the work, so that we don’t have precedence in our enthusiasm to get after target that will actually cause us a lot of arm foot later on down the track. So it’s easy to be impatient for the results but we just have to go after this in a minute and measured in methodical away?
Michael Slifirski: And the essential as Jeff than that's all one if the -- you've got at Esuajah South, so you get a meaningful increase in mine life with that potential, hypothetical greater visibility. Are there other projects between make seen some optimizations; recoveries and so on that, that are gazette by in adequate mine life at this stage?
Jeff Quartermaine: Look, we'd certainly be inclined to spend on some of the business improvements initiates that we've identified. Yes, I mean, at the moment, we are thinking well, it is a trade-off between well what's the payback on this investment and the return, like this is on the business improvement things. Certainly, if we were able to extend the life of mine, I'd say, three or four years, then we'll be looking more favorably at some of those initiatives. But we are working on all of those fronts at the present time, and we are encouraged by what we are seeing. But it just takes a little bit of time to deliver sound results, so we don't want to sort of go too far of then before we're ready to go.
Operator: Thank you. There are no further questions at this time. I'll now hand back to Mr. Quartermaine for closing remarks.
Jeff Quartermaine: Okay. Well, thanks very much, and as I said earlier, thank you for your attention today. We are in very good shape. Things are moving along according to plan. We, as the Company, we have placed a lot of value on delivering on our promises and doing what we say we're going to do, and we've got every expectation at the coming quarter and half year, we will do that once again. So thanks very much and I look forward to bringing you further good news in the not-too-distant future.